Operator: Greetings. Welcome to Marcus & Millichap’s Third Quarter 2021 Earnings Conference Call. As a reminder, this call is being recorded. I would now like to turn the conference over to your host, Tom Shearer. Thank you. You may begin.
Tom Shearer: Thank you. Good morning. And welcome to Marcus & Millichap’s third quarter 2021 earnings conference call. With us today are President and Chief Executive Officer, Hessam Nadji; and Chief Financial Officer, Steve DeGennaro. Before I turn the call over to management, please remember that our prepared remarks and the responses to questions may contain forward-looking statements. Words such as may, will, expect, believe, estimate, anticipate, goal and variations of these words and similar expressions are intended to identify forward-looking statements. Actual results can differ materially from those implied by such forward-looking statements due to a variety of factors, including but not limited to, general economic conditions and commercial real estate market conditions, the company's ability to retain and attract transactional professionals, the company's ability to retain its business philosophy and partnership culture and the competitive pressures, the company's ability to integrate new agents and sustain its growth and other factors discussed in the company's public filings including its Annual Report on Form 10-K filed with the Securities and Exchange Commission on March 1, 2021. Although, the company believes the expectations reflected in such forward-looking statements are based upon reasonable assumptions, it can make no assurance these expectations can be attained. The company undertakes no obligation to update any forward-looking statement whether as a result of new information, future events or otherwise. In addition, certain financial information presented on this call represents non-GAAP financial measures. The company's earnings release, which was issued this morning and is available on the company's website represents a reconciliation to the appropriate GAAP measures and explains why the company believes such non-GAAP measures are useful to investors. This conference is being webcast. The webcast link is available on the Investor Relations section of our website at www.marcusmillichap.com, along with the slide presentation you may reference during the prepared remarks. With that, it's my pleasure to turn the call over to CEO, Hessam Nadji.
Hessam Nadji: Thank you, Tom. On behalf of the entire Marcus & Millichap team, good morning, and welcome to our third quarter 2021 earnings call. We're very pleased to report another record quarter of revenue and earnings, coming on the heels of a record first half. For the third quarter, we delivered revenue of $332 million, adjusted EBITDA of $51 million and net income of nearly $34 million. Compared to the third quarter of 2020, revenue more than doubled and adjusted EBITDA increased more than four-fold. This is largely a testament to our pivot from helping clients solve problems and navigate last year's market disruption to leveraging an improving market environment throughout 2021. Historically, low interest rates, record liquidity and to some extent, higher motivation to transact ahead of tax law changes have bolstered the transaction market. Beyond the market recovery, we believe many of our actions and strategies over the past several years, particularly at the onset of the pandemic also drove MMI’s results. To put our performance into perspective on a pre-pandemic basis, we had outperformed our 2019 third quarter revenue and adjusted EBITDA by 68% and 83% respectively. While the market has improved dramatically, our brokerage transactions year-to-date exceeded the same period in 2019 by 28%, which is a clear outperformance compared to an estimated 9% improvement in overall market sales as reported by real capital analytics. During the third quarter, we closed over 3,300 transactions representing total sales volume of $20.8 billion. This is similar to the record volume experienced during the second quarter of 2021 and over 36% higher than the third quarter of 2019. Year-to-date, total sales volume was $50.2 billion, reflecting close to 9,000 transactions, or just under 30% ahead of the same period in 2019. The primary driver of these record numbers is the impressive productivity gains of our brokers and originators and the power of the MMI platform, built on the long-term client relationships, exceptional market knowledge, and of course, deal execution. Investments in technology, expanded client outreach, the addition of experienced producers and the integration of recently acquired companies are contributing directly to our performance. Robust earnings growth also reflects a deliberate effort to balance ongoing investments in growth initiatives, with expense management to achieve leverage. Steve will dive deeper into that. Let me now provide more color on various business segments. The foundation of our business, the vast and fragmented private client segment is stronger than ever. Third quarter private client revenue grew 87% year-over-year and 51% over the same period in 2019. Our core private client apartments and single tenant net lease businesses have performed exceptionally well since the onset of the pandemic and continue to attract record capital, given their strong fundamentals. We've also seen strength in self-storage, manufactured housing, hospitality, and shopping centers. Our team is helping our clients act on opportunistic investments, shift capital across markets and product types and reposition portfolios rapidly. Year-to-date, our private client revenue was up approximately 58% year-over-year and 29% over the same period in 2019. Many private clients transacted ahead of tax reform this year but our recent survey, which included over 3,000 investors points to personal and specific asset related strategies, strong buyer demand and record liquidity as the primary factors behind the decision to sell. We believe concerns over a higher capital gains tax rate and potential changes to the 1031 exchange deferred tax provision have contributed to trading volumes this year, but are not the main catalyst. According to our survey, the majority of investors executed strategies driven by product type, market performance and the economic cycle. Most importantly, the opportunity to lock in low interest rates ahead of a strong expansion cycle was noted. Third quarter revenue in our middle market and larger transaction segments together increased nearly threefold over last year. As a result, the average transaction size for the quarter increased 47% year-over-year and 23% for the first nine months of the year. Strength in our IPA division, particularly in the multi-family segment was noteworthy, as many institutional investors increased their allocations coming off of the market disruption in 2020 and became more aggressive in acquiring assets ahead of a robust rent growth cycle. Our positive results in larger transactions also highlight two aspects of our long-term strategy. First, it illustrates our unique ability to expose institutional assets, not only to the best of class institutional buyers, but the private capital sources through 50 years of cultivated relationships. The power of our expanded buyer reach is clear than ever in the current market. Secondly, our results highlight the effectiveness of our strategy to diversify into larger transactions and utilize a hybrid private client institutional brokerage model to attract and retain exceptional professionals. We added several top level IPA teams in various property types over the past three years that have acclimated to our culture and system very well. Our financing division MMCC also continued to grow with third quarter revenue rising 88% over last year. Year-to-date, MMCC’s revenue was up 73% and 59% over 2019. This is a reflection of various investments to better support our financing professionals. A number of whom are achieving career milestones this year. We're also seeing positive results from expanded lender relationships and acquisitions made over the past few years and new leadership. Consistent with our capital markets growth plan, we recently announced an investment in a strategic alliance with M&T Realty Capital Corporation. This partnership is unique in the industry and that it combines our market-leading multi-family brokerage and origination capacity with M&T's access to Fannie, Freddie, HUD and FHA financing. By investing in resources and infrastructure dedicated to supporting our platform, M&T brings a highly efficient process to our team, which in turn provides clients with competitive agency debt streamline and rapid do quotes and execution at no added cost. MMI upfront capital investment into partnership provides the foundation for us to generate incremental revenue growth by significantly raising the financing capture rate of our own 10 million plus apartment sales. Year-to-date, we closed 16 billion of these sales, which points to a great opportunity to also provide the financing on these transactions. As importantly, the partnership improves our ability to better integrate financing into our sales and advisory services for the same client base and expand our relationships and repeat business. Shifting to our sales force. The management team remains laser focused on retention and recruitment. As we have previously messaged turnover among newer brokers remains elevated, given the impact of the pandemic last year and still hampered in-person interactions. Our virtual recruiting, virtual training efforts are unwavering. However, the current environment still presents a challenge for the development of inexperienced individuals. Several new initiatives are being prepared for execution in 2022, which we expect will shore up in our recruiting and new talent development results. On the other hand, we're seeing high levels of productivity from recently hired experienced professionals and have a healthy pipeline of candidates we are actively pursuing. Now looking forward, we continue to see a favorable macro environment and a positive market backdrop would continue job growth, historically low interest rates and ample liquidity fueling real estate transaction volumes. Our internal metrics, including our pipeline, inventory and narrowing price expectation gaps point to continued strength in the near to mid-term. Fundamentals are healthy or improving, which further supports strong buyer demand. As examples, following the record rent growth in the second quarter apartments once again, registered record rent growth in the third quarter and we’re seeing improvement in space demand across most property types. Investors appear most cautious about office and seniors housing investments, while confidence has increased since last quarter price fatality and shopping centers. While concerns over inflation and rising interest rates have increased over the past few months, lack of overbuilding and commercial real estate hedge against inflation, bodes well for strong buyer demand. Our core MMI and our strategy, our balance sheet remains formidable and positions us well for continued growth. Building on our acquisitions over the past three years, scaling our capacity to add companies and groups remains a major focus and our top capital allocation priority. Valuation expectations have shifted rapidly this year compared to last year. Nevertheless, we’re encouraged by opportunities in synergistic areas that could expand MMI platform and are in dialogue with potential new teams and firms. We’re also excited about the next phase of the platform investments designed to further elevate our M&A infrastructure, training programs, marketing and our suite of proprietary technology. We expect to announce the addition of a highly experienced and innovative Chief Marketing Officer and a new Chief Human Resources Officer as key additions to the leadership team. These pivotal roles will help us advance our client services and sales force productivity. Before I turn the call over to Steve, let me express our gratitude to our clients who put their trust in us and are the reasons behind our 50 years of success and back to back record quarters. I would also like to recognize the efforts of our entire team who show incredible dedication to our clients and the firm, and are the backbone of our closing nearly 9,000 transactions or nearly 40 per business day so far this year. I will now turn the call over to Steve for a more detailed breakdown of our results. Steve?
Steve DeGennaro: Thank you, Hessam. In the third quarter, we delivered all time record revenue, adjusted EBITDA, net income and earnings per share. While year-over-year comparisons are extremely favourable, we are more pleased with a significant growth in all areas of the business compared to the pre-pandemic third quarter of 2019. Total revenue in the third quarter was $332 million, which exceeded our previous record of $285 million in the second quarter of 2021 by 16.6% and marks the second time a record quarter has occurred outside the fourth quarter. For the nine months ended 2021 total revenues were $801 million, up 71.7% year-over-year and up 40.9% compared to the same period in 2019. Brokerage commissions for the third quarter accounted for approximately 90% of our total revenues or $300 million, an increase of 113% over the third quarter of 2020 and 66% compared to the third quarter of 2019. On a year-to-date basis, brokerage commissions increased 72% year-over-year. Our core Private Client business remains a strength accounting for 61% of brokerage revenue for the quarter or $183 million, which is an 87% increase compared to the third quarter of 2020. Revenue from the Private Client segment for the first nine months of 2021 was $447 million an increase of 58% over the same period in the prior year. In spite of our leading market share in the Private Client segment, there is still plenty of white space in this highly fragmented sector and the sheer size of this market provides further growth opportunity. This quarter, our Middle Market and Larger Transaction Market segments together accounted for 36% of total brokerage revenue at $109.3 million, up nearly threefold year-over-year as Hessam mentioned. Brokerage revenue from these combined segments for the first nine months of 2021 accounted for 35% of total brokerage revenue or $248 million and were up more than double year-over-year. Of note is the recent growth in our larger transactions, which represented approximately 25% of total brokerage revenue for the third quarter growing nearly fourfold year-over-year. Moving on to MMCC. Revenues from financing fees reached $29 million in the third quarter, an increase of 88% year-over-year and 84% as compared to 2019. Financing fees for the first nine months of 2021 were $75 million, up approximately 73% year-over-year and 59% as compared to the same period in 2019. MMCC growth was driven by several acquisitions made during the past year, along with continued strong performance of our tenured financing professionals. Revenue from refinances accounted for 53% of loan origination fees for the quarter and for the first nine months of 2021. Other revenues comprised primarily of consulting and advisory fees along with referral fees were $3 million for the quarter up 53% compared to the third quarter last year and up 61% compared to the same period in 2019. Other revenues for the first nine months of 2021 increased 49% year-over-year. In the third quarter, we generated total sales volume of $20.8 billion across 3,325 transactions, representing year-on-year growth of 129% and 55% respectively. For the nine months ended 2021, we generated total sales volume of more than $50 billion across 8,942 transactions representing year-on-year growth of approximately 81% and 50% respectively. Brokerage transactions increased 61% year-over-year in the third quarter and 51% year-over-year for the first nine months of 2021. We continue to capitalize on the strong market environment and see our outperformance as a testament to the strength of our brand, our platform and our value-added brokerage and financing capabilities. Record revenue, while remaining diligent about expense management and execution in the business created significant operating leverage in the quarter. For the third quarter total operating expenses were $287 million, an increase of 89% year-over-year, but far less than the 110% revenue growth during the same period. For the nine months of 2021 total operating expenses were $694 million, a 57% increase compared to the total revenue increase of 72%. For the third quarter cost of services was $219 million or 65.9% of total revenues 300 basis points higher than the third quarter of 2020. For the first nine months of 2021 cost of services were $507 million or 63.3% of revenue up 180 basis points year-over-year. The increase was driven by senior sales and financing professionals reaching higher commission levels earlier than in prior years given our production level. SG&A in the third quarter was up 30% year-over-year, primarily due to increases in performance-based compensation, tied to record earnings and brokerage support costs, which correlate with higher business volumes. SG&A rose 20% year-over-year for the nine months ended 2021 due to the same factors as well as valuation adjustments related to acquisitions. These increases were partially offset by the reduction of in-person events, industry conferences, and travel. For the quarter, we generated $0.84 earnings per diluted share compared to $0.15 in the third quarter of last year and $0.49 per share in the third quarter of 2019. For the first nine months, diluted earnings per share were $2 as compared to $0.48 and $1.42 for the same periods in 2020 and 2019, respectively. Our tax rate was 26% and 26.7% respectively for the three and nine months ended September 2021 compared to 24.1% and 29.1% for the same periods last year. Adjusted EBITDA for the quarter jumped to a record $51 million or 15.3% of total revenues compared to 7.7% in the third quarter last year and 14.1% in the third quarter of 2019. Moving to the balance sheet. We finished the quarter in the strongest position in our history with $528 million of cash, cash equivalents and marketable securities, which is an increase of $79 million year-over-year. Along with the investment and the strategic partnership with M&T, Hessam also mentioned that we were actively working to build on our track record of acquisitions last year and are pursuing additional acquisition opportunities as well as investments in technology and platform improvements as our capital allocation priorities. Turning now to the near-term outlook. As favorable economic conditions persist, we expect the positive momentum to carry through to the end of the year and into 2022. Cost of services for the fourth quarter should follow the normal trend and increase sequentially to a range of 67% to 68% as more agents meet higher commission thresholds based on outperformance to date. SG&A for the fourth quarter will include continued investment in infrastructure and enhancements to the management team as Hessam noted. And therefore, should reflect modest sequential increase. We expect our full year tax rate to be in the 26.5% to 27.5% range. Overall, this was an excellent quarter and continues to build on the strong year the team has executed and delivered on this bar. With that, we can now open up the call for Q&A. Operator?
Operator: Thank you. [Operator Instructions] Our first question is from Blaine Heck with Wells Fargo. Please proceed.
Blaine Heck: Great. Thanks. Good morning. Hessam, can you just provide your latest thoughts on potential risks from regulatory issues? And I think the main concern has been around the elimination of 1031 exchanges. Is it your opinion that changes to that program are effectively off the table? And are there any other regulatory issues we should be monitoring that that could affect your business going forward?
Hessam Nadji: Blaine, good morning. Thanks for being on the call and for your question. It’s been widely publicized. The current proposal for tax reform has improved significantly as related to various aspects that would affect commercial real estate, including the 1031 exchange tax deferred provision compared to the original proposal. In fact, we just hosted an update on this very topic with our featured speaker who is the CEO of Real Estate Roundtable, Jeff DeBoer was incredibly active on behalf of the industry with Capitol Hill really making sure that these proposals are grounded and well-thought-through. So as of this moment, which is a little bit of a moving target, we believe that the proposals have improved dramatically. And yes, from what we understand, the 1031 exchange provision has been removed from any significant change. Now as Jeff reminded all of our clients on the webcast, there is still a process and still negotiations going on. But the improvement is clear since the April-May timeframe.
Blaine Heck: Great. That’s helpful. Can you guys just talk about the M&T partnership in a little bit more detail, if possible? Was there an initial cash outlay for that agreement? I think the press release mentioned a preferred stock investment. So any detail there would be helpful. And then, when does or when did the agreement kind of go into effect? And how should we think about the effect on that partnership on financing revenues as we think about them going forward?
Hessam Nadji: Sure. We definitely have improved the tools and the process we now have with M&T through this strategic alliance and our partnership with them that did involve a capital investment into M&T. By setting it up as we have, we have the benefit of dedicated personnel on the M&T side and processes, workflow and execution improvements over any other agency lending oriented correspondent relationship we’ve ever had before. The reason for that is because we’re now a step above a normal standard correspondent relationship and we’ve actually entered this partnership with M&T, which allows us to have more deal control as well as the synchronized processes for quick quotes, for deals submittal, status movement on pending transactions. And of course getting deals across the finish line in partnership with M&T and the agencies. So from that standpoint, the execution will be significantly better than anything we’ve had in place. This enables in turn our originators to have the benefits of these expanded tools and better execution, and therefore be able to integrate better with our investment sales teams. As I mentioned in my formal remarks, we’re leading broker of major apartments is valued at $10 million plus or any way that you analyze the multi-family market, we’re the number one broker in transactions. Therefore, having this expanded capability and access to agency lending through our originators, enables our investment sales brokers now to bring more value to the same clients. So not only can we capture a higher percentage of our own transactions through agency financing, and by the way, other financing. Our originators continue to clear the market on behalf of the borrower. The agency that of course is not the only option as everybody knows this year, for example, the share of agency execution is down significantly from last year because the market changes. And therefore, I think the notion that we will integrate better, we will capture more repeat business from the same client base that does financing with us and does investment sales transactions with us are clear advantages. In addition to additional recruiting and really retention of value proposition brought to our team because of this enhanced partnership.
Blaine Heck: Great. That’s helpful color. I guess, can you give the dollar amount of that initial capital investment?
Hessam Nadji: We will not disclose that.
Blaine Heck: Okay. Moving on, I guess, on previous calls, you guys have discussed and on this call, you did as well, some challenges in hiring during – due to having to kind of conduct the recruiting virtually. And we noticed the number of professionals continued to decrease sequentially between the second and third quarters. Have you guys found that as cities opened during the quarter hiring became a little bit easier? Or are you still kind of swimming against the tide of professionals leaving because they've had such a rough year last year, and if that's the case, when do you think that fallout starts to wane given that you're seeing such better velocity on the transaction side this year?
Hessam Nadji: Sure. Let me separate my answer, on the retention front from the recruiting front. On the recruiting front where we're having very steady success in attracting new talent and people coming in, of course, it's a very competitive labor market as everybody knows. But we were still getting a very strong flow of new candidates that are coming in through our virtual career nights and virtual recruiting and interviewing process, as well as of course the in-person part of all that has improved significantly from even six months ago. It's just not back to normal. The effect of the net numbers that you mentioned, are more driven by the fallout from last year, as you mentioned. And really even the first part of this year, the environment is much more challenging for a new person, who's learning the business. Who's being mentored and trained either by a mentor, sales or loan originator or our regional managers because of the fact that the in-person physical component of that learning and development, whether it's team meetings and group training and activity reviews, or client interactions has been hampered and remains hampered quite a bit. But the numbers really show what's happened over the past 18 months. Not so much as an indication of what's going to happen over the next 18 months. To your point, we expect a dramatic improvement in all of this, as everyone can come back into the office and we can resume much more of our in-person, part of the culture and training and touch points. We are fully prepared for a hybrid work model, of course, the business with brokers being on the road so much and in front of clients so much, it's a quasi hybrid anyway, as an – essentially as an industry, but even more so now with the technology that was implemented and what's been learned throughout the pandemic, a hybrid work model will be very effective for us. But that will always have a large physical component because that's an important part of the business that we're in.
Blaine Heck: Okay, great. That's helpful. Last one for me. So can you just talk little bit more about the opportunities that you guys see in front of you with respect to additional acquisitions? Maybe just some more color on the types of businesses you're looking at, whether it be on the financing or transaction side, and then any color on the size of deals would be helpful as well.
Hessam Nadji: Sure. I'll take that. And I have Steve chime in as well. We have been exploring many companies that are complimentary to the firm. I've had ongoing conversations with a few that we're very encouraged by within our core business and complimentary to our market coverage and product type expertise on the brokerage side. And of course, on the financing side, we've shared with you many times before there is ample runway. Many of our metros still don't have a fully developed finance professionals or teams on the ground. Many of our teams have the capacity to grow further and our ability to capture more of our internal financing opportunity. And of course grow externally is significant on the financing side. So it's a parallel track of looking at targets, both on the financing side, as well as the investment brokerage side. But being very targeted and selective based on what's complimentary and not an overlap that would result in conflict. In terms of other business lines, we've looked at some other adjacent businesses, our own governance around that is the first and most important question in our mind. And that is we are being in this business line, add value to our core customer base to our future customer base that we're looking to grow with i.e. institutional investors that we're growing with through our IPA strategy, which has been very effective. And lenders with home, we're looking to do more business as reflected in our acquisition of mission capital last year, and a very important component of mission capital was their loan sale business, which put us now in a place to bring a whole other value proposition to the same lenders. We've been doing a standard mortgage brokerage with who often sell loans in pools, or even individually that we weren't really qualified to capture. Those are just some examples between the IPA strategy and the loan sales strategy and ways we're looking to supplement the core business, but there's appraisal as a potential vertical there's investment management as a potential vertical for the private client segment. There are services such as cost segregation and other consultative advisory services that will be complimentary. So within the context of how will we add value to our clients and how will we support our current sales force to a better value proposition. We look at other business lines to supplement our growth.
Steve DeGennaro: And in terms of – Blaine, we've also made changes to our process internally, historically our M&A efforts have been either led by or initiated by boots on the ground, our local sales management who have gotten relationships with other firms boutiques in their territory. Those efforts will continue. However, we've also initiated a more centralized process where we've got executive sponsorship of deals and potential targets. We brought on additional resources on the legal and the financial side to be part of that process, enhanced our capabilities in that area.
Blaine Heck: Great. That’s helpful color. Thanks guys.
Steve DeGennaro: Thanks Blaine.
Operator: We have reached the end of our question-and-answer session. I would like to turn the conference back over to management for closing comments.
Hessam Nadji: Thank you, operator. Once again, let me thank everyone for participating on our earnings call. And we look forward to seeing more of you on the road and through additional virtual connectivity. But most importantly, I really want to thank our clients as I did in my formal remarks once again, without their trust in us, we would not be achieving the results that we are achieving. And of course, the tremendous hard work of our entire team. Thank you for joining the call.
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time and thank you for your participation.